Operator: Thank you for standing by, and welcome to the ESAB's Fourth Quarter 2024 Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Mark Barbalato, Vice President of Investor Relations. You may begin.
Mark Barbalato: Thanks, operator. Welcome to ESAB's fourth quarter 2024 earnings call. This morning, I'm joined by our President and CEO, Shyam Kambeyanda; and CFO, Kevin Johnson. Please keep in mind that some of the statements we are making are forward-looking and are subject to risks, including those set forth in our SEC filings and today's earnings release. Actual results may differ and we do not assume any obligation or intend to update these forward-looking statements, except as required by law. With respect to any non-GAAP financial measures mentioned during the call today, the accompanying reconciliation information related to those measures can be found in our earnings press release and today's slide presentation. With that, I'd like to turn the call over to our President and CEO, Shyam Kambeyanda.
Shyam Kambeyanda: Thank you, Mark and good morning everyone. Thank you all for joining us today. Let me begin by recognizing the tremendous effort of all of our associates. Their commitment to our purpose and values and their unyielding dedication to serving our customers enabled us to excel in a challenging environment. Our teams globally continue to raise the bar with EBX driving continuous improvement kaizens at our manufacturing sites, enhancing sales processes to simplify doing business and accelerating the pace of innovation to gain market share. The fourth quarter capped off another strong year delivering record fourth quarter profits, reducing the cyclicality of our business and delivering over 100% in free cash flow conversion. These achievements bring us closer to our 2028 goals. 2025 is off to a solid start and we are determined to build on our momentum from 2024. We will stay focused on innovation, shifting our mix, adding bolt-on acquisitions and raising the bar on EBX to deliver differentiated financial results. Turning to Slide 3 to discuss our financial performance for the fourth quarter. We delivered 90 basis points of margin expansion on flat organic growth and achieved a record fourth quarter adjusted EBITDA margin of 20.3%. This underscores our unwavering commitment to EBX and continuous improvement, enabling us to navigate and execute in a challenging market. Let me reiterate, ESAB has an unmatched global footprint. This is a significant competitive advantage and in today's context, our high growth markets continue to offset softness in developed markets. In addition, our commercial EBX playbook and the introduction of exciting new products are capturing the attention of end-users and customers alike. One of the highlights of the quarter was our welding equipment product line which rose high single digits in the quarter. We have a track record of consistent strong cash flow generation which we are deploying to execute our compounder strategy. As a result of our efforts over the last eight years, ESAB is a less cyclical, higher margin and stronger cash flow business. Moving to Slide 4 to discuss our 2024 highlights. The team continued to execute and deliver on our commitments. Adjusted EBITDA came in at the top of the range and margin set a new record at 19.7%. Adjusted EPS and free cash flow conversion were well above our guidance. Most importantly, our teams are passionate about our purpose of shaping the world we imagine and our shared vision of reaching our 2028 goals. Turning to Slide 5 and bringing our team's passion to life for you. I've been sharing stories that reflect the enthusiasm of our teams and the power of our enterprise to shape the world we imagine. This time I would like to share how our teams are investing in our local communities. Our team in Europe has expanded our network of technical universities to further the education of young students who are passionate about the field of fabrication technology. We are organizing seminars and donating ESAB equipment as our associates volunteer their time to teach students welding techniques and the best safety practices. We kicked off the Ultimate Euro Tour and our Blue Collar Tour, traveling to different cities to highlight our products and solutions to customers, distributors and future end-users. The Blue Collar Tour is particularly inspiring, making [30 in over] 60 days visiting trade schools and high schools. Adding to our sustainability initiative, our GCE team collaborated with a key customer to build a fuel cell system used for backup emergency power. We believe in inclusivity at ESAB, and I want to especially recognize our U.K. team who are engaging with Project OR, which is an initiative that aims to bring new talent and diversity into our industry as it nurtures young talent regardless of background. As always, I'm humbled and proud of the time our associates have volunteered to share their passion for our industry, and I know it positively shapes the education and lives of future generations. Moving to Slide 6. Over the next two slides, I would like to share what differentiates ESAB. We believe in the power of and. We expect to find ways to take cost out of our business and invest a portion of these savings in innovation and growth. This slide provides you with an idea of what we're focused on over the next three years to improve margins, deliver stronger free cash flow and achieve better-than-market growth. I've mentioned before, we're in the middle innings of our EBX journey. At our leadership conference next week, we will be sharing our goals to accelerate our Kaizen activities and strengthen our continuous improvement process. We're also training our leadership team with new tools for productivity like AI to drive back-office savings. We expect to generate $60 million in savings by 2028 through these activities. Moving to Slide 7. We have invested over $100 million in growth initiatives. These initiatives include driving commercial excellence to expand our light automation and equipment portfolio, leveraging AI to enhance customer experience, supporting our sales force with targeted marketing programs to improve brand recognition and funding university research to drive technological breakthroughs for future innovative products. The results are exciting with our new products, improving our equipment mix and profitability. The flywheel is turning and we're just getting started. Moving to Slide 8 to discuss the continuation of our compounder journey. During 2024, we added three fantastic acquisitions, and let me announce that we signed our first deal of 2025, Bavaria, on Tuesday. Bavaria expands our global consumables portfolio, and we will share more with all of you at a later date. It is important to note that these deals were proprietary, allowing us to pay a competitive multiple and these acquisitions are EPS accretive in year one. In Q4, I had the opportunity to visit Sumig in Caxias do Sul in Brazil, a gem of a business nestled in the mountains of Rio Grande do Sul State. This $35 million revenue asset extends our product line into higher growth light automation, and shifts our mix to higher-margin equipment in the Americas. We've spoken before about Linde Bangladesh and Sager. Both businesses are integrating ahead of plan. These acquisitions demonstrate our ability to find accretive acquisitions around the world. Coming back to the point I've made, we have top-tier talent in Colombia, the Indian subcontinent and Brazil, allowing us to identify, pursue, acquire and integrate these great businesses. And lastly, the slide highlights our commitment to our discipline to ensure acquisitions meet both our strategic and financial goals. Turning to Slide 9, and talking specifically about our financial metrics for the quarter. Total sales reflected flat organic growth, 200 basis points of growth from M&A and a 500 basis points of FX headwind due to a strong U.S. dollar. We were pleased with our standard automation and welding equipment performance during the fourth quarter. This reflects the channel's acceptance of our updated product portfolio and the commercial excellence initiative, which continues to gain momentum. Adjusted EBITDA improved by 90 basis points year-over-year, reaching a fourth quarter record of 20.3%, driven by the successful implementation of EBX initiatives. Turning to Slide 10, focusing on our performance in the Americas. Organic sales declined by 200 basis points, offset by strong price performance during the quarter of 400 basis points, acquisitions added 300 basis points, helping offset FX headwinds. During the quarter, we closed on SUMIG, and the business is off to a great start with ESAB. Adjusted EBITDA improved 210 basis points year-over-year, reaching a fourth quarter record of 21.6%. Moving to Slide 11, another strong performance from our teams in Europe, Middle East and Asia. Total sales increased 300 basis points and EBITDA margins were at 19.3%. During the quarter, volume increased by 400 basis points as we experienced strength in high-growth markets, and our teams continue to drive share gains in equipment and improve our mix. The Linde Bangladesh acquisition performed well and added 200 basis points of growth. On that positive note, let me hand it over to Kevin for Slide 12.
Kevin Johnson: Thanks, Shyam. Good morning. This year, we achieved another record free cash flow of $321 million. We also attained the free cash flow conversion exceeding 100%, supported by our continued deployment of our EBX business system and the advantages gained from the AI projects initiated in 2023. Our great cash performance meant we could pay down debt better than expected, ending the year with net leverage under 1.6x. This included spending $154 million in three terrific bolt-on acquisitions that Shyam discussed earlier. With our strong balance sheet and cash flow, we are positioned well to execute on our compounder journey. Moving now to Slide 13, we provide our 2025 guidance. We anticipate organic growth of 0% to 2% with both positive price and volume. We expect a benefit of approximately 1.5 points from M&A, which will be offset by around 3.5 points of FX headwind due to a stronger U.S. dollar, particularly in the first half of the year. The guidance does not reflect the Bavaria acquisition, which will be updated upon its close. Regarding the seasonality, the quarterly breakdown is detailed on the slide. We anticipate that organic growth will be flat in the first half of the year, with an improvement expected in the second half. This includes positive pricing throughout the year in both our segments. We foresee volumes in the Americas improving sequentially as we progress through the year due to more favorable year-over-year comparisons and some market improvement. Additionally, we expect continued strength in high-growth markets, particularly in the Middle East, India and rest of Asia, resulting in low to mid-single-digit positive volume growth in our EMEA and APAC segment throughout the year. We project adjusted EBITDA of between $515 million and $530 million, reflecting a margin increase of about 70 basis points at the midpoint. We aim to generate approximately $25 million in savings during the year from the EBX initiatives focused on productivity, back-office cost reduction and restructuring, offset by $15 million investment growth initiatives coming for new welding equipment, gas control products and AI. Interest expense is expected to be within the range of $62 million to $65 million. Additionally, we forecast an improvement in our adjusted tax rate at the midpoint of around 50 basis points. Finally, our cash flow conversion guidance is approximately 100% as we continue to focus on maintaining a strong cash flow performance and an increasingly robust balance sheet to support our compounding strategy. Let me hand back to Shyam now on Slide 14 to wrap up.
Shyam Kambeyanda: Thank you, Kevin. To summarize, 2024 was another strong year of execution. We launched over 100 new products and closed on three fantastic bolt-on acquisitions. We leveraged the power of EBX to achieve record EBITDA margins and generated better than 100% free cash flow conversion. We're off to a solid start to 2025. And as we continue to focus on improving our mix, we intend to take EBX up another notch to drive higher margins and strong cash flow. Our acquisition funnel is full of high-quality assets that will help propel us towards our 2028 goals. We're laser focused on what we control. We have demonstrated agility and the ability to execute no matter what the business environment. The team is focused on creating long-term shareholder value. Thank you all for joining us this morning. With that, operator, let's open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Bryan Blair from Oppenheimer. Your line is open.
Bryan Blair: Thank you. Morning guys.
Shyam Kambeyanda: Good morning.
Bryan Blair: It'd be great to hear a little more color on order patterns in early 2025, obviously, emerging markets, outgrowth has been notable through '24, and that's expected through the cycle. And in terms of developed market activity that - offsetting that sluggishness certainly a positive as well. Just curious if there's been any shift or, call it, any divergence in underlying trends to start the New Year?
Shyam Kambeyanda: Yes. I think, first, obviously, very proud of our team and our performance in 2024. I think our progress towards becoming a premier industrial compounder continues. And as I mentioned in my script, we're off to a good start in 2025. We sort of have gotten past January and the month was, in our view, a solid start. Orders continue to be stable to slightly improving. And that's actually both in the Americas, and the rest of the world. So that's been a good indication. But it's early, Bryan. I think it's important to sort of kind of watch, where things end up. But I must say that we're happy with the start to 2025.
Bryan Blair: I appreciate the color. And sort of a level setting question, the 2024 deals that were executed, what kind of accretion does your team expect in '25 from those assets? And then any additional color, you can offer on the deal environment would be great?
Kevin Johnson: Yes, I'll let Shyam answer the question around the deal environment. But Bryan, I think as we've pointed out before on the three deals that have closed, our expectations at there at fleet, or above fleet average in terms of EBITDA percentage. And as Shyam mentioned during his part of the script, they're integrating very well. In fact, we're seeing them a little bit ahead, of where we had expected, when we had prepared their white papers.
Shyam Kambeyanda: And in terms of what we have, I think I mentioned as I ended that the robust - we have a robust funnel. The fact that we signed our first deal on Tuesday was very encouraging, sets up well for the full year. We did three deals last year. I think our goal would be to sort of continue that kind of pace. But as you all know, it takes two to tangle, but we are optimistic about the funnel that we have and our ability to execute against it.
Bryan Blair: Understood. That's encouraging. Thanks.
Operator: Your next question comes from the line of Saree Boroditsky from Jefferies. Your line is open.
Saree Boroditsky: Hi, good morning. So your guidance includes the ramp in Americas. I mean you mentioned easy comps, but also improving market conditions. Can you just talk about this improving optimism, as we go through the year?
Shyam Kambeyanda: Yes. Good morning, Saree. So a couple of things for us, and I spoke about it in prior calls as well. Our equipment line is being accepted quite well, both in the distributor channel and with end users. So we see our commercial excellence program that's focused on shifting our mix of our business towards equipment, continue to gain traction. We see our gas control business, as some of you are now aware that we have a gem of a gas control business within ESAB. That business continues to perform well in the Americas, and has green shoots growth. And then we see a stabilization off of Q4 within our FABTECH business, due to slightly improving conditions as the year goes on in the Americas. And so those three factors, is what we've sort of put into our guidance for 2025.
Saree Boroditsky: I appreciate that color. And maybe sticking with the guidance. Maybe you looking for limited top line growth this year, but you're looking for 70 basis points of margin expansion as well. So maybe just talk about the different drivers, of the margin expansion expected for the year?
Shyam Kambeyanda: Yes. We've talked about margin expansion in the spirit of continuous improvement, and what's in our DNA and in our culture at ESAB. I think the important piece that I'd like to state there, that we look at cost out opportunities, and we look at opportunities to take some of that cost out, and reinvest in our business. And so, when you look at the margin expansion levers that we have, the first one obviously is price. In this year, we're looking at value-based pricing, new product introductions to help us move our margins forward. The second aspect of it is EBX, continuous improvement and productivity gains that we expect to drive within our shop floor. And the third piece is back office and OpEx reduction using sort of the new technologies that are out there like AI, like data analytics, to drive margins forward. And so the expansion story for us, as we talk about the midpoint of 70, has all those three factors in it.
Saree Boroditsky: Appreciate the color. Thank you.
Operator: Your next question comes from the line of Mig Dobre from Baird. Your line is open.
Mig Dobre: Thank you and good morning everyone. Maybe going back to your organic growth outlook, I'm curious if you can sort of break down what your assumptions are for the gas business specifically. And then maybe give us a little bit of context on how you think about equipment versus consumables. The way I kind of understood your comment, the gas business continues to grow pretty well. Equipment seems to be gaining share. So help us understand the moving pieces here, in terms of how we get to the 1% midpoint?
Shyam Kambeyanda: Yes. The way to think about it is consumables flattish to maybe slight growth, and then you'd look at automation and gas control equipment being up, slightly higher on the low single-digit piece. And then we see equipment be somewhere in the mid-single-digit range make for the year.
Mig Dobre: Okay. If I sort of put together those moving pieces, I guess I end up with something that's a little bit higher than where you've guided. And that's kind of the thing that really stood out to me, as I was looking at your outlook. It seems like 2024 was a tough year from a macro standpoint, from an end market standpoint. I mean that's what we kind of talked about throughout the past three to four calls. And I'm wondering, from your perspective, are things actually getting better? Do you have hope for things getting better in 2025? Or is essentially the outlook just baking in the same sort of choppy and difficult environment that you had in 2024? Thanks.
Shyam Kambeyanda: Yes, Mig. I think it's - I mentioned this earlier, we're off to a good start to 2025, but the environment is still choppy. We think it sort of stabilizes as the year goes on and the second half has sort of a lot more traction than the first half. But that being said, I think I mentioned earlier, we don't see things moving downward, from where we finished Q4. We've seen orders kind of stay positive to slightly better than how we ended the fourth quarter. And so all in all, we feel confident about our guide. But there's a lot of uncertainty out there. And I think the way I ended the call was probably the best way that, I could put it to you. We surely can't control the environment that will come at us. And if it's positive, you can rest assure that that this team, will be driving ahead of that positivity. But if there is some uncertainty, we are also very confident in executing our plan, to continue to grow margin, drive cash flow and gain share.
Mig Dobre: Appreciate the color. Thank you.
Operator: Your next question comes from the line of Nathan Jones from Stifel. Your line is open.
Nathan Jones: Good morning, everyone.
Shyam Kambeyanda: Hi, Nathan.
Nathan Jones: I guess, I'll start off on some more detail on the guidance. Maybe you can split it up a little bit more by region. Obviously, I think there's probably a fair difference in some of the regions in EMEA and APAC, and maybe North and South America as well. So any color you can provide on your expectations in '25 for growth in the various regions that make up the segments?
Kevin Johnson: Yes. I think maybe the best way to look at it, Nathan, is the split between developed and high-growth markets. As I said during my script, we are still seeing very strong markets in India, the Middle East, and we are seeing, particularly in Southeast Asia, quite a number of pockets of good growth expected this year. But the developed markets, Europe and North America, we're not seeing any deterioration in those markets. But based on what we can see at the moment, our expectation is things stay very consistent, with how we ended last year. And then start to improve in the second half of the year, particularly in the Americas.
Nathan Jones: Fair enough. I guess I did have one question on the fourth quarter results on the Americas price being at 4%. I wouldn't see that inflation, would have warranted that kind of price increase. Was that something that's value-based pricing? Or is that more related to the strength in the U.S. dollar that drove that price?
Shyam Kambeyanda: No. A lot of it was value-based pricing, as we sort of introduce new products into the regions, and then some inflation-based pricing that was out there, Nathan. But I think both our teams in North and South America did a really nice job with holding price, moving margins to a good spot. And so very proud of that team. We believe that, that 210 basis points year-over-year improvement was solid. The team did a really nice job, both on the operating side, and on the price side.
Nathan Jones: I guess just to follow-up then. It sounds - I mean, you've said positive volume, positive price in all the regions. And if you're at 1%, that probably means very low pricing that you're getting in 2024. Is there the potential with new product introductions that drove some of that good pricing in the fourth quarter, to carry over in '25? And maybe we see a little bit better pricing in the Americas than in that, kind of very low single digit you're looking at?
Kevin Johnson: I think Nathan you remember, we're pointed at the moment a little bit higher on price in the Americas, but you're right, we're around about a point or so of price in that business. I think as we launch new products, certainly, the value pricing is something we've been using EBX for. We're learning more. Of course, there's opportunity as we go through 2025, as we bring out these new products to actually price them a bit better, and maybe do better than that number. But at the moment, we feel confident with where we've positioned the guidance.
Nathan Jones: Awesome. Thanks very much for taking my questions.
Operator: Your next question comes from the line of David Raso from Evercore ISI. Your line is open.
David Raso: Hi, thank you for the time. The Americas, can you just be clear on the guidance? Do we see volumes turning positive during the year on a year-over-year basis in Americas?
Kevin Johnson: In the fourth quarter, David, we see the margins turning positive.
Shyam Kambeyanda: Volume.
Kevin Johnson: Volumes, yes. Sorry.
David Raso: The volumes. Okay. Terrific. And for Europe organically for '25, I'm just curious if you can give us some context around how you're looking at that business organically in '25?
Kevin Johnson: Yes. Our expectation organically is low to mid-single digits. We expect fairly steady growth as we progress through the year.
David Raso: And the low single-digit, that was a decline...?
Shyam Kambeyanda: I think you're talking all of rest of America or just Europe. Was your question just on Europe or all...?
David Raso: Yes, just Europe...?
Kevin Johnson: Sorry, I was answering the...
Shyam Kambeyanda: Yes, I think Kevin was sort of talking the whole world. So adding slightly muted volumes for Europe. I think the way to position that, David, is we have a really strong European business. Our team continues to gain share, and our performance in Europe, in my view, has been very strong. Volumes are muted, but what I would submit is that it's better than the Americas performance. So think of it as muted in the first half, moving to slight growth in the second half, but better performance than the Americas volume number that you saw in Q4.
David Raso: Great. And one thing, too, on the currency translation, for the international businesses, I appreciate Americas is getting hurt in the Brazilian reais, for example, but that there's no currency drag in the international of EMEA and APAC. Can you explain that? I'm just maybe not modeling it correctly just given the dollar, euro and just trying to figure out which currencies, are that helpful to keep it flat?
Kevin Johnson: In terms of currency, the euro is a negative headwind, David, for us. So we do expect some FX headwinds within the EMEA and APAC business. In fact, the euro is our biggest drag out of all of the currencies that we have.
David Raso: Yes, I was just thinking of the last quarter or two, the international - no international, EMEA, APAC, has been shown as currency neutral. And I'm just making sure for going forward, I'm just trying to figure out how it's been neutral the last couple of quarters? Maybe I was missing something on the rupee or something. I just was trying to figure out why that...?
Kevin Johnson: In that division, really the currency that drives things the most is the euro, and will be a consequence of the movements year-over-year in the euro.
David Raso: Yes. Okay. And lastly...?
Kevin Johnson: As we look at the full year guidance, we are seeing quite a large headwind year-over-year on the euro, and also due to the Indian rupee pop up as one of the currencies. So it's causing a little bit of a headwind in terms of the full year guidance.
David Raso: And lastly, back to the question on pricing in Americas. It feels a bit conservative. What's in your order book? Is it already having the muted year-over-year price gains versus what you're posting? Or you're just assuming some anniversarying where there's no further price? I'm just trying to understand why the price - you've been doing a very good job in getting the price in Americas. And I'm just making sure I understand why it's guided now sort of largely going away very little price for '25? Is that already in the backlog? Or just trying to understand why pricing can't stay a little more positive?
Shyam Kambeyanda: Yes. I think the way to think about that, there's moving pieces in there, depending on what steel does, David. So I think our assumptions right now is that at least we have not seen steel pricing jump. And so, it's a bit more muted on that particular side on the consumables side. On the equipment side, obviously, we feel very confident about the pricing. And so to answer your question, I think the assumptions that we're taking in is that steel kind of stays where it's at, to slightly down as we go through the year. If things were to move the other way, as you know, we'd be sort of out there with some additional pricing.
David Raso: So like a tariff impact, I assume the contracts have the ability to pass it on pretty quickly if steel moved?
Kevin Johnson: That's right. That's right.
David Raso: Thank you so much. I appreciate it.
Operator: Your next question comes from the line of Tami Zakaria from JPMorgan. Your line is open.
Tami Zakaria: Hi, good morning. Thank you so much. My first question is on FX. It seems like you're modeling or expecting $90 million of FX headwind this year year-over-year. How much of EBITDA headwind would that be? I'm trying to understand if you have a rule of thumb, for incremental or decremental margin related to FX?
Kevin Johnson: Yes. As you know, we have a lot of our costs in the regions where we operate. So we do have some element of natural hedge. So typically, for us, it's run about 20% decrement what we would expect on FX movements positive or negative.
Tami Zakaria: Got it. Okay. That's helpful. And then my other question is the more geopolitical. Should Russia and Ukraine, the conflict resolve, do you see any opportunity in the near term of rebuilding in that region begin? Or is that not a region where you have much exposure left?
Shyam Kambeyanda: Yes. I think, first, we are rooting for peace and sustained piece in the region. If things were to get better, and there was a reconstruction plan. We would expect ESAB to benefit from it, but that is not in our numbers, or in our forecast.
Tami Zakaria: Got it. Okay. Thank you.
Operator: Your next question comes from the line of Chris Dankert from Loop Capital Markets. Your line is open.
Chris Dankert: Hi, morning. Thanks for taking the questions, guys. I guess, first off, maybe a point of clarification just to kick things off here. On the margin walk, you didn't highlight the mix of the benefit. It seems like equipment is still outgrowing, gas control still outgrowing consumables. I would assume there's kind of a continued mix tailwind there. So is that included in the margin walk? Is that just part of the pricing? Maybe kind of if you could put a little finer point on mix that would be helpful?
Shyam Kambeyanda: Are you talking about the 2025 guide, Chris? Or are you talking about how we finished the Q4, '25?
Chris Dankert: Yes, on the guidance, sorry, yes?
Kevin Johnson: Yes. So obviously, as equipment becomes a larger part of our business, that mix is beneficial to the margin. Certainly, one of the areas that we've be focused on as well as value pricing as well as some additional restructuring efforts, as well as some of the efficiency improvements we're making in the back office, Chris. So it's definitely in the mix. I think the key thing that Shyam has talked today about on the call is the fact that we're also creating an envelope, a window that's allowing us to continue to invest back in the business as well. So all of the savings that we're generating, from all of those activities, they're not all flowing straight through to the bottom line, because we're continuing to invest in the business for the future.
Shyam Kambeyanda: And I think that's important, Chris, to understand, and that really differentiates ESAB. The fact that we are taking cost out, creating some headroom, but more importantly, investing in the future. And we think that pays dividends over the long-term to our shareholders.
Chris Dankert: Well, that's actually a great segue into my second question here. I guess maybe can you guys break out maybe a couple of the key buckets, for investment this year in '25? I mean does the additional product R&D? Is it digital, maybe, if you could give some color there that would be great?
Kevin Johnson: Yes. We - obviously, we've been talking since 2023 about AI, and that is continuing to be a focus area for Shyam, me and our broader team. We're not going to share all of the secret sauce on the call, but I can assure you, we've got several projects in flight at different stages, at the moment within the business. And we think that's an important area. It's amazing just some of the opportunities that are coming across on back office automation, as well as customer service, which has been a big focus area for us for the back end of the '24 and into '25, and how we can use AI to enable us to do that. And then there's the commercial excellence initiatives that we kicked off a year or so ago. Where we're looking at making sure we maximize our share of welding equipment. And we've got a number of activities associated with that, that we'll continue to invest in this year to make sure that, we drive strong growth in welding equipment again in 2025.
Shyam Kambeyanda: Yes. I think just to add to what Kevin said. In some regions, as you can imagine, customers were ESAB buyers. And on the equipment side, what we're finding is that if we have targeted commercial strategies to those customers, we're able to go back and gain share. And our European team has done a really nice job with it, so as our South American team. So really happy about the commercial excellence side. And the other aspect of AI is that we're finding that, it can also play a large role in design and development. And so, we've been investing. The other investment that Kevin did mention was with universities, as we kind of look to breakthrough technologies that will reshape our portfolio for the future. So there's really three aspects on that particular front.
Chris Dankert: That's helpful. Thanks so much for the color guys, and best of luck in '25 here.
Shyam Kambeyanda: Thank you.
Kevin Johnson: Thank you.
Operator: Your next question comes from the line of Mig Dobre from Baird. Your line is open.
Mig Dobre: Yes, thank you. Just a very quick follow-up. So on Slide 6, where you talk about EBX, you have this goal outlined to reduce manufacturing footprint by 15% over the next three years, I'm curious if you can comment a little bit more on this. And I'm wondering two things. First, what sort of changes are you making here? And is it more about kind of like shifting production into certain geographies, anything else that we should know? And what's the net effect of reducing the manufacturing footprint, in terms of efficiency or your cost structure?
Shyam Kambeyanda: Yes. Sort of on that left side of the slide, we should talk about kind of the improvement, and the benefits of what we're doing on the right, both in manufacturing footprint and some back office optimization. The best way to think about it, is that we acquire bolt-on and tuck-in acquisitions. Our premise and thesis on most of it, is that you pick up a business, you've got accretive margins. You're able to tuck them into ESAB manufacturing sites, become more efficient and as a result, drive more to the bottom line. And so, the assumption on that particular piece is no different. We've got some other actions underway as well on some legacy facilities, but we usually don't talk about them in much detail in these calls. But rest assured, what I wanted to communicate on that particular slide. Is that I often get a question about how far along are you, and do you have more to do in terms of EBX, and optimization and footprint? And I think the short answer is we do. We have plenty to do actually. In fact, I would submit that we had a strong year in 2024, but we could have done more. I'm sure we'll feel the same way when we're done with 2025. And so, this sort of just gives you a view of how we think about our footprint, and what we think the opportunities will be, as we acquire companies, and we take some of the companies that we've acquired, and continue to make them more efficient.
Mig Dobre: Appreciate it.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Mark Barbalato for closing remarks.
Mark Barbalato: Thank you for joining us today, and we look forward to speaking to you next quarter.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.